Operator: Good day and welcome to the Coca-Cola Enterprises' First Quarter 2016 Conference Call. At the request of Coca-Cola Enterprises, this conference is being recorded for instant replay purposes. At this time, I'd like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead, sir.
Thor Erickson - Vice President-Investor Relations: Thank you. And thanks to everyone for being on our call today. We appreciate your interest and for joining us to discuss our first quarter 2016 results and our outlook for 2016. Before we begin, I'd like to remind you of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning's release, as well as the detailed cautionary statements found in our most recent Annual Report on Form 10-K and subsequent SEC filings. A copy of this information is available on our website at www.cokecce.com. Additionally, it is important to highlight that statements made about Coca-Cola European Partners or CCEP and the proposed merger on today's call are made with full recognition that this is subject to regulatory approvals and other conditions of closing and that until closing of the transaction, we're operating our businesses separately and independently. Today's remarks will be made by John Brock, our CEO; and Nik Jhangiani, our CFO. Damian Gammell, our COO is also with us on the call today. Following prepared remarks, we will open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question and we will take follow-up questions as time permits. Now, I'll turn the call over to John Brock.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you, Thor, and thanks to each of you for joining us as we review our first quarter results and our outlook for the year. Looking at our results for the first quarter, comparable diluted earnings per share totaled $0.41 with currency reducing these results by approximately $0.02. Currency neutral net sales declined 3.5% and comparable currency neutral operating income increased 1.5%. Our volume decline of 4% includes the drop of 5% in Great Britain and a 3.5% decline for Continental Europe. These results reflect the impact of a soft consumer environment as well as temporary supply chain challenges in Great Britain. Nik will provide more color on this in a few minutes. In addition, there was one less selling day versus the same quarter a year ago. While our first quarter performance was a slow start to the year, this quarter is our smallest. Based on our outlook for the remainder of the year, we have affirmed our 2016 guidance. Nik, again, will share more on our outlook shortly. As you recall, we signed an agreement last August with Coca-Cola Iberian Partners and the Coca-Cola Company to merge CCE with the bottlers in Spain, Portugal, and Germany. Since then we've secured European Union Commission approval. Our proxy statement prospectus on Form F4 has been filed with the Securities and Exchange Commission and has been declared effective and a vote by CCE shareowners is now scheduled for May 24th. The transaction remains on track to close by the end of the second quarter this year. To realize the benefits of this transaction, we're working diligently to secure a timely close and a successful launch of CCEP. It is vital to ensure that the new company is ready to go on day one. CCEP creates strong business foundation and strengthens our ability to adapt and to respond to changing business conditions through shared best practices. CCEP also improves our ability to innovate, to enhance our supply chain and to bring more relevant products and packages to market as we work to meet evolving customer needs and consumer preferences. Over time, we believe these benefits coupled with our strong relationship with the Coca-Cola Company will enable us to improve our outlook, reignite growth, drive value for customers and consumers and importantly create shareowner value. We're focused on closing this transaction and we are diligently working to improve our growth outlook and to deliver against our business plan. In fact, nearly all of our people are restoring growth and achieving our 2016 targets territory by territory is their primary focus. We have confidence in the ability of our workforce to execute the marketing initiatives, the innovation plans and the operating strategies that we have in place for this year. For example, we will benefit from our relationship with the UEFA EURO 2016, which is Europe's biggest soccer events. We have targeted programs with customers and solid in-store execution opportunities that we believe will make this a very successful promotion. We're also broadening our introduction of new brand, extensions and packaging in each of our territories such as immediate consumption packs for Coca-Cola Zero Cherry and multi-pack cans for FINLEY. And we continue to enhance our availability footprint with expanded cold drink equipment placements. In energy, our portfolio continues to grow supported by strong growth of Monster including our new Ultra Variants with zero sugar and zero calories and new packs as well as our rollout of Nalu across the Netherlands. We've also unveiled a new pack design for the Relentless brand in Great Britain and we are launching a new Passion Punch flavor this month. We also will work to build on our success in stills this year, in part, by continuing to add new flavors and packaging for Capri Sun and by enhancing overall execution. And we will continue to grow smartwater in Great Britain with new packages within existing outlets, increased availability, and increased production capacity. We will also benefit from The Coca-Cola Company's new initiative called Taste the Feeling which builds on the joint work we have done to unify our Coca-Cola trademark products under one iconic Coca-Cola brand. Now in closing, let me share some key thoughts. First while we recognize our operating environment remains challenging, we are optimistic about future opportunities for growth. We will continue to work to seize these opportunities and improve our long term growth outlook. Second, we believe Coca-Cola European Partners is a compelling business combination that will help our ability to mitigate these challenges and at the same time offer clear opportunities for profitable growth. As the leading Coca-Cola bottler, and a major European consumer goods company, CCEP represents a unique opportunity both for our customers as well as for our shareholders. Third, our disciplined financial approach enables us to maximize the effectiveness and the efficiency of our operations and is focused on long-term profitable growth. And finally, we have a demonstrated ability to manage our business effectively in a challenging environment which is coupled with a strong commitment to driving shareowner value. We also have a solid strategic partnership with The Coca-Cola Company and a shared vision of the future of our business. All of these factors are vital in helping us to execute at the highest levels in every area of our business and maintaining our focus on our most important objective, delivering shareowner value. Thanks again for joining us and now I'll turn it over to Nik.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Thank you, John and thank you to each of you for joining us on our call today. I'll start by discussing the results of the quarter in a bit more detail and then turn to our outlook for the remainder of 2016. Looking at the first quarter on a reported basis, our diluted earnings per share were $0.29 and on the comparable basis were $0.41. Currency translation reduced earnings per share by approximately $0.02. Net sales were down 3.5% on a comparable and currency neutral basis, this reflects a comparable volume decline of 4% and flat net pricing per case as the benign cost environment continues to give us flexibility in the marketplace. Cost of sales per case declined 2.5% and ongoing focus on expense control limited operating expense growth to 1.5% for the quarter. Operating income was up 1.5% with operating margins increasing compared to the first quarter last year, all on a comparable and currency neutral basis. These numbers reflect a few different factors, firstly, the challenging environment, then the impact from one fewer selling day in the quarter and finally the negative impact of the temporary supply chain disruptions in Great Britain. Now these disruptions occurred as we replaced aged technologies and implemented new software programs and processes. This limited our ability to meet the needs of our customers in a timely fashion. Key issues included a decreased ability to allocate and fulfill orders leading to shipment shortages. These issues are being addressed and our order fulfillment is reaching normal levels. Our teams are focused on ensuring that we are fully prepared for the key summer selling season. We've continued to adjust our plans and broadly the net impact to CCE full year growth will be modest; importantly, we have reaffirmed full year 2016 comparable and currency neutral net sales to be up slightly. Please note that the difference in selling days will not have an impact on full year results as there is one additional selling day in the fourth quarter of 2016. Now let's look deeper into our 2016 full year guidance. We continue to expect free cash flow in a range of $500 million to $550 million, this is expected after CCEP transaction cost of approximately $75 million to $100 million. Capital expenditures are expected to be approximately $325 million with a weighted average cost of debt of approximately 3%. The comparable effective tax rate for 2016 is expected to be between 26% and 28%. Given the pending transaction as we had communicated earlier, we do not plan to repurchase shares in 2016. As John mentioned, we have reached another milestone towards closing. The U.S. proxy was declared effective recently and we have scheduled a shareowner vote on 24th of May. Concurrently, we are focused on finalizing the EU prospectus and making available financial statements presented in euros, which will provide a more accurate view on our operating results going forward. These will also be presented under IFRS. To close, let me highlight a few areas. As we move forward, it is important that we remain realistic about the environment as overall conditions do remain difficult. However, we have a solid history of and a commitment to managing the levers of our business to deliver value. This is even more important in today's environment as we continue to look for ways to improve our growth outlook. We also remain focused on generating cash, utilizing our flexible capital structure and ultimately creating long-term profitable growth. These proven abilities and strategies coupled with the new opportunities and synergies created by the formation of CCEP will help to improve our ability to accomplish our most important objective continuing to drive shareowner value. Thanks for your time and now John, Damian, and I will be pleased to take your questions. Operator?
Operator: Our first question is from John Faucher with JPMorgan. You may begin.
John A. Faucher - JPMorgan Securities LLC: Good morning, everybody. Just want to talk a little bit about continent volume in the quarter, the economies are weak and you've, obviously, been dealing with issues in Belgium, but can you give us an idea in terms of how you see that progressing over the course of the year, how much do you think some of the weakness this quarter was let's say one-time-ish? And then any color you can give us on sort of the other CCEP territory in Germany and Spain in terms of how their trends are relative to what you're seeing on the continent? Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Damian would like to take that one?
Damian Paul Gammell - Chief Operating Officer: Thank you, John. As you know, on the continent, our first quarter results varied across the territories, we were quite pleased with our performance in the Nordics and the rest of our European territories had a more challenging consumer environment as both John and Nik referred to. Clearly Belgium has been impacted by some one-offs, unfortunately by the terrorism that has affected tourism and overall consumer sentiment, and clearly we hope that is a one-off for sure going forward, and we've seen in France and Netherlands slightly overall category softness; having said that, smallest quarter, and we're coming into big period of activity for us as we look forward to the EUROs, UEFA EUROs; we've got the Olympics as we come out of summer, and a lot of innovation across brands and packs across all our continental European markets; so while it was a challenging first quarter, we do look forward to the rest of the year.
John A. Faucher - JPMorgan Securities LLC: Got it. So, just one quick follow-up here, so is the thought that the underlying trends get better or that marketing is more impactful or does it sound like it's probably a little bit of both?
Damian Paul Gammell - Chief Operating Officer: A little bit of both.
John A. Faucher - JPMorgan Securities LLC: Okay. Thanks.
Damian Paul Gammell - Chief Operating Officer: Well, one drives the other, so that's clearly part of the story.
John Franklin Brock - Chairman & Chief Executive Officer: And John you asked a question about Spain and Germany, and what we can do is reiterate what Coke said in their announcement for first quarter performance, which was Spain up 3% unit case volume and Germany up 1% unit case volume, and again when you look at all of the events that Damian outlined for CCE territories, those will all be playing out across the whole of Europe.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And John I would just add, do recall I mean in Q1, we saw the launch of the new Coca-Cola campaign, Taste the Feeling and clearly like all new initiatives that takes time to see, that will continue through the year, that was probably the biggest event in our Q1 calendar. As we look forward, clearly a lot of our activities like the EURO football, Olympics, summer promotions et cetera fall within the next two quarters. So like every other year, you do see a big ramp up in terms of activation on the consumer and on execution side as we move into our two biggest quarters. So 2016 will be no different from that standpoint.
John A. Faucher - JPMorgan Securities LLC: Okay. So, I guess that's the kind of the question, right? You have big initiatives building sequentially every year, so you are lapping last year's big initiatives. I'm just trying to understand how much of the planned acceleration is really in your control. And I guess stepping back from it, as you think forward to CCEP, I guess maybe just a gut check on, are you still 100% percent confident that that $350 million to $375 million in cost savings that you have called out related to that deal, are those – do those still flow entirely to margin or does the softness in the marketplace up the odds you are going to have to reinvest those savings to try to reignite the top line at least early in the life of CCEP?
John Franklin Brock - Chairman & Chief Executive Officer: On the first question, it is a reality that the volume and revenue hurdles that we're going to be looking at in the second quarter and the third quarter become a bit easier just because of the kind of volume increases we had last year particularly in the first quarter last year. So you are absolutely right, we have big programs and they tend to be second quarter and third quarter loaded and then of course holiday loaded at the end of the fourth quarter. And we lap those every year but nevertheless, the reality we see is that the volume hurdles should be easier in Q2 and Q3. In terms of synergies, the $350 million to $375 million and I will ask Nik to comment a little bit more on this but $350 million to $375 million is a number that we have committed to both internally and externally that we will achieve and that's an absolute number, that we – that's not assuming that any of that's going to go anywhere else, that's a number we plan to achieve. Do you want to add more to that?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: No, I think there is nothing more to say.
John Franklin Brock - Chairman & Chief Executive Officer: So if you have any further questions on that we can tackle them but that's a clear number that we said on August the 6th and everything we have said since then and seen since then; when we look at our integration steering committee; we look at the IMO work, that's has been led by cross-functional and cross-business unit teams and actually under the leadership of Victor Rufart, it's really been a good program, a solid program and we remain even more committed to that number today than we were nine months ago.
John A. Faucher - JPMorgan Securities LLC: Okay. Thanks. I will pass it on. But just to be 100% clear, when you talked about it originally on August 6th, it sounded like some of that might be used as fuel to drive the top line, i.e., reinvestment, since you talked about that as flowing to the benefit of margin essentially in full. Just to clarify that and then I will stop. Thanks so much.
Damian Paul Gammell - Chief Operating Officer: I will clarify that we were very clear at that point that the $350 million to $375 million would fall to the bottom line. The caveat that we did put out was if we do find investment opportunities that will still deliver the same $350 million to $375 million to the bottom line over the three year period post close; clearly, we would look at those but we are committed to dropping the $350 million to $375 million to the bottom line three years post close.
John A. Faucher - JPMorgan Securities LLC: Perfect. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Kevin Grundy with Jefferies. You may begin.
Kevin Grundy - Jefferies LLC: Thanks. Good morning, guys.
John Franklin Brock - Chairman & Chief Executive Officer: Good morning.
Kevin Grundy - Jefferies LLC: I want to spend a little bit more time on Great Britain; and specifically, if you guys can give an update on the pricing – on your pricing strategy there, it still seems like there is some competitive pricing in the marketplace although you have been a bit more rational. And then more broadly just building upon some of the other line of questioning; what needs to change there with the strategy? You guys have pretty dominant market share but the share losses seem to persist and maybe this is just around competitive pricing; maybe there's something else around execution but if you could just comment there on what needs to change. And then lastly with GB maybe, you could also provide some commentary on what you are seeing with respect to your performance in hard discounters channel versus the more traditional channels there. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Okay. Damian, do you want to tackle those?
Damian Paul Gammell - Chief Operating Officer: Yeah, just to give some commentary around GB; firstly, obviously, when you look at our share and the share numbers, it doesn't cover the whole of the market and we've talked about that before. It doesn't track all of the market. But clearly we have seen some aggressive pricing from our competitor in GB and we will continue to respond with a rational pricing strategy. And so we focus on creating value rather than destroying it. We have seen our execution improve across GB; so certainly we don't see any issues around our execution. Clearly in Q1, we did have a bump in the road regarding the transfer to our new software platform, so clearly that impacted our Q1 results. But if you look beyond Q1 and for the rest of the year, we remain confident that a number of our initiatives in terms of packaging, pricing, and new products will continue to support a healthy GB business. We obviously keep a close eye on share and clearly we want to grow our value share going forward. But we also want to do that in a sustainable and rational way. So, on your point on hard discounters, again beyond the first quarter we continue to make progress with our discounters in GB both in terms of listings and also in and out activities and we'd expect that to be for the rest of 2016 also.
Kevin Grundy - Jefferies LLC: Can I follow up just – if I could just follow up quickly on the potential need for higher levels of investment in the country, given that it's going to be one of the largest regions post merger. Is there a line in the sand here with these market share losses? I know you are managing market share within a corridor, but the losses now are probably north of, or close to 200 basis points. Over the past year, is there a line in the sand where you need to invest behind price, there needs to be more investment behind the brand, et cetera? I can leave it there. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: I think the simple answer is there never a line in the sand that we would draw. We think it is an issue that we need to constantly be aware of, and very diligently look at it. We're not happy with market share losses, but as Damian has already said we're constantly looking at what the right balance is. And I think the other thing you do to have to take into consideration is we do well and in fact better in some of the channels that aren't reported as part of the syndicated data. So, you have to look at it in a completely full-some basis which is the way we look at it. So we're not happy with market share losses, but we would never say and certainly not publicly there is a point out there at which we're going to have to make some changes. We think that's our – that's what hopefully we're pretty good at doing.
Kevin Grundy - Jefferies LLC: Very good. Thank you, guys.
Operator: Thank you. Our next question is from Judy Hong with Goldman Sachs. You may begin.
Judy E. Hong - Goldman Sachs & Co.: Thank you. So, just a couple of follow ups on the UK supply disruption, so that I have this clearly. One is just, in terms of the categories or brands that have been impacted, was it mostly sparkling, because if I look at sequential volume performance, certainly sparkling was down more than still, and I'm just wondering if that's more a function of the market dynamics, or supply disruptions impacting certain brands more than others? And then, do we expect some of these volumes to come back as retailers begin to build more inventory, or how do we think about this impacting Q2?
Damian Paul Gammell - Chief Operating Officer: Thanks, Judy. So, if you – to answer your second part of your question first, so we've seen our service levels improve dramatically over the last number of weeks and throughout April. So, clearly we like operating at service levels in the very high 90%s in GB, and we've been very successful at that and our customers recognize our high service levels. Clearly with the software transformation, we dropped well below that. So, the good news is we're getting back towards our historic high levels of customer service although we still have a little ways to go as we head into May. In terms of the impact, given it mainly affected our ability to deliver, it pretty much impacted all of our brands, however, as you know we manufacture most of our still brands in single plant sites in GB given the size of the volume. So, by definition it can be an easier supply chain to run given you've got single plant manufacturing where our sparkling business, given the size of it, tends to be slightly more complex as we run across a number of different plants. So, no specific answer on that that, but clearly as you said our stills business did hold up a little bit better than sparkling. And our priority, obviously, has been to get all of those brands back up to very high 90%s service levels and that's the journey we're on at the moment, and we're making good progress.
Judy E. Hong - Goldman Sachs & Co.: Okay. Got it. And then Nik at Cage, you talked about the tax rate for new CCEP coming down about 200 basis points. Since then, you had the new treasury rules come out. So, just wanted to see if there is any update on sort of your understanding of how that rule impacts your tax rate for CCEP going forward, or any other issues related to the deal?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Judy, I would say to you, obviously, we went through the regs, which obviously are still going to be reviewed and have not been formalized and confirmed to go into affect the way they are. I think the important thing is, obviously, having read those we are still moving ahead with the transaction, and so read into that as you see appropriate. From a perspective of the fact that I provided some indications on where our tax rate would be, I think those still hold for the short-term at this point, and again once we see how those rules might come into effect we will update the markets if there's any change to our current thinking.
Judy E. Hong - Goldman Sachs & Co.: Okay. So the 24% to 26% still holds for the time being?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Correct.
Judy E. Hong - Goldman Sachs & Co.: Got it. Okay. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you, Judy.
Operator: Thank you. Our next question is from Bonnie Herzog with Wells Fargo. You may begin.
Bonnie L. Herzog - Wells Fargo Securities LLC: Hi.
John Franklin Brock - Chairman & Chief Executive Officer: Hi Bonnie.
Bonnie L. Herzog - Wells Fargo Securities LLC: I just was hoping to dig a bit deeper into energy. Monster volume was up 15%, while your overall energy business was up only mid single digits. So, could you talk about the performance of the non-Monster energy brands? And I would be curious to hear how much of an opportunity do you see to further expand Monster within the CCEP markets? Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Damian?
Damian Paul Gammell - Chief Operating Officer: Yeah, hi, Bonnie. So, we're very excited about the opportunity of Monster across all of our markets going forward at CCEP. Clearly Monster is benefiting in the numbers that you've quoted from some of our markets being at the beginning of its launch phase within a lot of our markets. So, the other brands that you're referring to, obviously, have been part the CCE business for a bit longer, so we are seeing Monster benefiting. We're also seeing the benefits of the category being managed holistically now. So as we put all of our energy brands in one basket we can make better choices about what brands, what packages fit better where. So you will continue to see that dynamic as we grow our total energy portfolio. We do think it is good to have more than one brand in the energy segment and we're working market by market to ensure that with the multiple brand strategy that we get the best out of our portfolio. So a little bit of that growth is around just early entry of Monster and – but we expect energy to be a big revenue and profit contributor to CCE and CCEP going forward. And there's a lot of good product innovation coming from Monster as well which we are excited about.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And Bonnie just keep in mind too that we did introduce Monster in Norway in the second half of last year, so we've got a favorable lapping of that, that's coming through in the first quarter too as we get that pickup.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. That's helpful, and then in terms of the innovation, is that products you'll have in time for the summer selling season, or later this year?
Damian Paul Gammell - Chief Operating Officer: No, we will have a number of those products being rolled out in Q2 for the summer and we have a pipeline of innovation that will continue right through 2017 and beyond, so we're quite committed with Monster and are continuing to take leadership in that category.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. Perfect. Thank you so much.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you, Bonnie.
Operator: Thank you. Our next question is from Ali Dibadj with Bernstein. You may begin.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. A few things. One is, can you help us just get a better sense of your expectations for price and volume for the year organically? That's I guess the first question.
John Franklin Brock - Chairman & Chief Executive Officer: Well, yeah, I think we've said that our revenue is going to be up slightly for the year that was our guidance and we're sticking with that. In terms of pricing, all of our pricing negotiations are done and so we're pleased – that's obviously headline pricing all of those are done and dusted and intact, and obviously we adjust pricing as we go through the balance of the year in terms of various promotional programs and so forth. But I think the best way of answering your question is to say we're sticking with our revenue guidance and within that, we will have to manage pricing and volumes frankly on a week-to-week and month-to-month basis depending on all kinds of other activities, competitive activity, our own programs, our customers' programs and how that all fits together. So, we tend to be a little bit less specific publicly on what we are thinking is going to happen. But I think the key thing is we're sticking to our guidance.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. So much more dynamic than a plan going forward. And then on this GB disruption, I guess, I struggle with trying to understand why it is so difficult to quantify. I mean, you know how much GB volumes were down, it sounded like a response to a question earlier, you kind of can set aside a little bit of the stills business. So just struggling to try to understand why it is so difficult, and maybe in answering that question perhaps, you can tell us where the service levels went to, from, I'm assuming this 90% range, Damian, that you mentioned, where they went to, and are they back to normal?
John Franklin Brock - Chairman & Chief Executive Officer: Well, let me make a couple of comments and then Damian or Nik want to add some color they can. Yeah, our service levels at some point went down as low as 80% or even slightly below that and that's obviously a serious issue for us. I think the good news is, there well back up in the high 90%s, close to 98% and our target is 99% which is what we typically achieve. So that's where we'd like to be and frankly as we move into April and May that's where we think we will be. I think it is – I understand your question around wanting to know specifically how much of this was due to disruption. I think it's just like weather. We have a really cold summer. It's hard to actually put a number on what components or what the results are due to weather and trying to separate out the weather impact versus everything else that's going on. And that's the same situation we have here. I think what we can say is it did measurably affect our business in GB and the negative 5% would not have been negative 5% if we not had this issue. But I think beyond that it's tough to be a bit more specific than that.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And, again, keep in mind that this is our smallest quarter. Also keep in mind that we've been lapping 8.5% growth in GB for the first quarter of 2015. So there are so many factors there and obviously we do our internal analysis and we have had some indications of that, but I don't think we are ready to share those publicly.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay, and my last question is about CCEP and the transactions there, on two lines. One is, can you give us a sense of the degree of management distraction, so to speak, if any, in terms of closing that? Sometimes when a big transaction happens, folks look a little bit more to the left and try to figure out the transaction, as opposed to really being 100%. So how has that impacted your business at all? It's a question I get a lot regarding some of these short term issues that you have, so is there management distraction, does that get better going forward? Number two is just from a pure housekeeping perspective, what entity gets reported in Q2? Is it assuming the closing happens post-vote (37:30), what gets reported, what currency, et cetera, the next time we hear from you? Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Yeah, I will let Nik answer the second question. Regarding the first one, I'd say, we have a team, as I indicated earlier, a cross functional team and a cross business unit team that comprises our integration management office across a whole host of different areas. And those teams are comprised of specific individuals, some of them are full-time and some of them are part-time, but that entire team is a very finite and modest team when you consider we have got 25,000 employees, we probably have – pick a number, about 100 people involved in doing the integration work and the other 24,900 are focused on running the business and are not distracted at all. They have their jobs to do and frankly are doing them extremely well. We have had a very active communications program internally to make sure everybody knows what we're doing and where we're going and where we're headed, but we think that they have really understood that their jobs are to manage the businesses and to stay focused on doing what they are doing and basically not getting involved with each other's businesses. So I don't think there's been distraction of any significant degree which is obviously something we set out to do in August and I think we're very close to being at closing and we've achieved that. Again it's in the hands of 75 to 100 people who are focused on it pretty much most of the time.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And your question around the entity going forward.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Yeah.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Currently now based on the fact that we have the shareowner vote scheduled for the 24th of May, we would expect to close sometime by or before the end of Q2 and we'll provide you more details on that obviously. But CCEP would then come into effect at that point by or before the end of Q2. So what we would be reporting would be CCEP's information. Now, that could be five and a half months of CCE plus a half a month of CCEP, which would more our reported basis. But what we would definitely provide is what CCEP would have looked like for the first six months of 2016. We would also have a comparative in terms of what CCEP for 2015, for the past year would have looked like. So, that's what we'll be using going forward. Couple of other quick points I would make there. Keep in mind, those will be in euros going forward under IFRS. We will obviously be providing 2015 full-year euro financial under IFRS, which will be a part of the EU prospectus, which will also be available around – in the next few weeks or so. So, we'll be sharing those and then we'll provide comparable data too. So, more to come on that.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Mark Swartzberg with Stifel. You may begin.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks. Good morning, gentlemen. Germany and Spain, I'm hoping you can give us some added perspective on the top line. We know the unit volume number, and I think you just touched on the organic revenue number too, but can you give us a sense, even if it's not numbers per se, about mix trends in those two markets? And relating to that, cost per case trends, and I'm less interested in how they compare to CCE than how they compare to those two markets' own histories. Trying to get a sense of whether the kind of improvement we're seeing here in CCE is also evident in those markets, for the unique characteristics to those markets.
John Franklin Brock - Chairman & Chief Executive Officer: Mark, those are excellent questions, but unfortunately we're in a position in this transaction where we just really can't make any comments on any of those items. I think we've been as open and as transparent as we can be on the things that we've talked about. And we will provide the kind of information you just asked, as soon as we're in a position to do so, which isn't going to be too long, but unfortunately, we can't do it today.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: Okay. Fair enough. I had a hunch you'd say something like that John.
John Franklin Brock - Chairman & Chief Executive Officer: I'm sorry.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: You still wanted to try, good shots.
John Franklin Brock - Chairman & Chief Executive Officer: (42:20).
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: So, we won't call this a second question, then. So, here is my other question, and it is a second question, I admit. But can you give us a flavor for the continent for France and Netherlands particularly, of what's going on with channel trends and mix trends for those regions? And again relative to their own history, to what extent they are improving, and what the complexion of the improvement is? We see it on a total CCE basis, but I'm trying to take out the GB factor, and focus on what's going on there.
John Franklin Brock - Chairman & Chief Executive Officer: Damian, do you want to (43:00)...
Damian Paul Gammell - Chief Operating Officer: Yeah. So, I mean, in line with the guidance both Nik and John talked about earlier for revenue for the full-year, I mean you've seen our Q1 performance, so within that, on the Continent, we have seen our plans around pricing and mix coming through in Q1 and we expect them to remain for the full-year. Clearly, we are operating in a fairly benign inflationary environment, so headline pricing across Europe is challenged. But, we've been quite happy with the performance in Q1 and on mix. There hasn't been any significant channel mix shift in those markets and we're seeing the trends that came out of 2015 continuing in 2016, and we're all set to capture any benefits from those trends. But, overall, it reflects on the guidance we've given for the full-year, our view on Continental Europe at the moment.
John Franklin Brock - Chairman & Chief Executive Officer: Yeah. I totally agree with that. The only add on to that, I'd say is, you've heard us talk before about the continuing growth of small baskets, the continuing growth of digital, that's continuing. So, as Damian said, no big shifts really that we're seeing that are different than the past, but the areas that have been more of the growth areas over the last couple of years continue to be. And I think you're going to see that continuing.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: And is it too early days to think the incidence contract with this new mechanics, so to speak, is benefiting mix there? Or is that more of a full-year effect, or are you seeing evidence that's benefiting mix?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: I would say to you – I mean, what we're seeing is evidence of the right behaviors within our sales organizations, that are getting up to speed and understanding the implications on margins, the different packs and more alignment with The Coca-Cola Company. But it's still early days. We only put this into effect January 1, so we've had...
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: Yeah.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: ...one quarter of it. But, I clearly believe this will lead us in the right direction.
Mark Swartzberg - Stifel, Nicolaus & Co., Inc.: Great. Okay. Thank you, gentlemen.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you, Mark.
Operator: Thank you. Our next question is from Caroline Levy with CLSA. You may begin.
Caroline Levy - CLSA Americas LLC: Thank you so much. Good morning or afternoon, whatever it is there. Just a question on revenue per case. The comp actually gets a little harder as the year moves on. Are there reasons why you think your revenue per case would improve, despite that?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Well, I think back to John's point Caroline, what we have is a pricing that has happened in place and that typically those negotiations happen during the latter part of this quarter. Now, obviously, that's headline price as John has indicated, but we're very focused on how we manage our promotional calendar, as well. I think with the upcoming events that we have around the euro, the campaigns that are being launched, focused around innovation, we feel confident in our ability to deliver on our guidance of slightly positive net sales for the year.
Caroline Levy - CLSA Americas LLC: Right. And you had strong margin improvement in the quarter, particularly gross margin.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah.
Caroline Levy - CLSA Americas LLC: I'm assuming it doesn't stay that good, but do you think the cost environment is such that you could still see significant gross margin expansion?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Well, I think, keep in mind, again, if you look at the timing of some of our contracts and how that plays in. Clearly, we saw a much more favorable impact for the first quarter, some of our contracts in terms of what we're lapping came into effect in the second quarter. So, I don't expect that we would see the same favorability as you've seen in the first quarter; but I would still expect that we would have margin improvement. And we do expect COGS still for the full-year basis to be up modestly.
Caroline Levy - CLSA Americas LLC: Got it. And then, just lastly, and more sort of – I don't know – more difficult question I think, Taste the Feeling is a change in the way that Coke has done advertising, in the sense that it used to really focus on one particular brand. How do you – from what you've seen of how this is going to be activated across EURO and Olympics, is there any risk that the single brand focus actually, or the lack of that leads to some dilution in product success? I hope you understand what I'm getting at there?
Damian Paul Gammell - Chief Operating Officer: Yeah.
John Franklin Brock - Chairman & Chief Executive Officer: Yeah, Damian go ahead.
Damian Paul Gammell - Chief Operating Officer: Yes. No, we don't see that. In fact, we've seen a lot of positive feedback from certainly – from our employees, from customers when we talk about the campaign. And clearly, in markets where we've got a significant brand franchise like Diet Coke in the UK, we're still managing that separately. So, I think the company and ourselves have made pragmatic choices around markets where if there was a risk to what you laid out, we're addressing that. But overall, everybody feels pretty positive about the campaign. It will flow through EUROs, it will flow through the Olympics. And so far, it's been very well received. Clearly, it's too early to talk about any quantitative data, but we think it's definitely a step in the right direction for all of the brands under that franchise. And as I said, in key markets, like GB, we have taken some decisions to ensure the risk you outlined is managed.
Caroline Levy - CLSA Americas LLC: Great. Thanks so much.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Robert Ottenstein with Evercore ISI. You may begin.
Brendan James Metrano - Evercore Group LLC: Hi, good morning. This is Brendan Metrano for Robert. Just wanted to go back to the disruption for one quick follow-up. How early in the quarter did that occur, and then, what was the duration when service levels were only around 80%? And then just lastly – and then just another quick follow-up, on the $31 million restructuring charges, were those related to the disruption, or what did those come from? Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Yeah, the answer to the first question is, it started early in the quarter, intentionally, because it's our smallest quarter and we wanted to get through all of the holiday programs, promotions and events, and as soon as that settled down then we began this software implementation. So, it was early in the quarter. And again, it was because we didn't want to do something like this in the middle of the summer. And as this quarter went on, we saw most of the effect of it really in February and then as we moved into March and now into April, it has gotten progressively better.
Brendan James Metrano - Evercore Group LLC: Okay.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And on your question in terms of restructuring. No, that had nothing to do with the GB disruption. That is related to our Belgian supply chain optimization project.
Brendan James Metrano - Evercore Group LLC: Okay. Great. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Chris MacDonald with Redburn. You may begin.
Chris J. MacDonald - Redburn (Europe) Ltd.: Good morning. Thanks for the question. Can you just give us a bit of an update on the pricing negotiations in France? I know you commented they're all concluded. And can you confirm whether the price mix for the GB in France, whether it was positive or negative in these two markets?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah, I can indicate to you, when we look at headline pricing, we have been able to achieve those favorably and pretty much in line with our – what we had in terms of our expectations and our plans. I think we were clearly supported by some great programs that we will have, particularly in France, around the EURO 2016, which helped us as we went in and had those discussions and negotiations. So, all is on track; but again, that's headline pricing. Obviously, as John said, very clearly earlier on, we continue to look at our promotional calendar and what we need to continue to manage in terms of the various levers between volume, price and mix.
John Franklin Brock - Chairman & Chief Executive Officer: Just to add a comment to that, pricing negotiations are never easy with our customers and we know that, you know that. Our team in France, I think, did a remarkable job, because the challenge is to go in – or the opportunity really is to go in and make sure our customers understand these are win/win kind of situations and the whole idea is to help them understand the value creation opportunities that they have by taking on board the best portfolio of beverage products, that's around and to convince them that there is a pricing parameter that is in there, that it is important for them and it is important for us and when it works then everybody wins, everybody's margins expand. So, we had really tough as always pricing negotiations in France; but I think in the end, what our team concluded there were a set of agreements that were again wins for the customers and wins for us, and the good news is they are behind us now.
Chris J. MacDonald - Redburn (Europe) Ltd.: Okay. Thank you. So, I assume pricing for France and GB was pretty much flat, in line with the rest of the group?
John Franklin Brock - Chairman & Chief Executive Officer: We don't generally give results that specific. Again, we tend to talk about revenues; and our objective, of course, is always to have some degree of pricing in there, because without that, it's impossible for us and our customers to have margins that are either maintained or expanded. But generally, we kind of keep the specificity of the price increases as an internal discussion.
Chris J. MacDonald - Redburn (Europe) Ltd.: Of course. Thank you. And one final follow-up. The $14.50 cash return, how can investors treat that? Will that be a return of capital or a special dividend?
John Franklin Brock - Chairman & Chief Executive Officer: Nik?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: There's information in the proxy all around that, we don't provide any kind of guidance to that. It is a cash payment of $14.50.
Chris J. MacDonald - Redburn (Europe) Ltd.: All right. Thank you for the clarity.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Brett Cooper with Consumer Edge Research. You may begin.
Brett Cooper - Consumer Edge Research LLC: Good morning. The talk of expanding the portfolio, especially within stills, has increased by both yourselves and Coke, and I had a couple of questions with respect to the effort. When do we begin to see more tangible evidence of that in the market? And then for your long-term planning assumptions for CCEP, how much of the top line growth in the new entity comes from new products or innovation?
John Franklin Brock - Chairman & Chief Executive Officer: Damian?
Damian Paul Gammell - Chief Operating Officer: So, we don't give guidance on the second part of that question, but clearly we talk about portfolio expansion and innovation being the key part of our total revenue plan, and you'll see that continuing. To the first part of the question, we've already on the call had a discussion around Monster and we've seen innovations like smartwater coming out of GB, being a hugely successful. We've innovations around Finley in Continental Europe, so across all our markets, we're seeing product portfolio expansion being a key driver of our revenue and our customer dialog, that will continue. And clearly, as we look at the formation of CCEP, we also have the opportunity to look at what's been happening in Germany and Spain, in terms of portfolio expansion and consider whether there is anything that can be replicated back into CCE and vice versa. So, you should expect to see us continue to innovate in our product portfolio with the Coke Company going forward and it will be a key part of our revenue driving strategy; but clearly, we don't discuss the absolute percentage of that.
Brett Cooper - Consumer Edge Research LLC: Okay. Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Bryan Spillane with Bank of America. You may begin.
Bryan D. Spillane - Bank of America Merrill Lynch: Hi. Good morning.
John Franklin Brock - Chairman & Chief Executive Officer: Hi, Bryan.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Good morning.
Bryan D. Spillane - Bank of America Merrill Lynch: Just one quick one. Nik, in terms of getting the effective registration statement out in Europe, what stands in the way at this point from that happening? Is there any regulatory thing, or is there anything else meaningful that has to be done internally to sort of get that into the market?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yeah. It's just a couple of things, a lot of it will mirror what you see in the proxy, but there is two additional elements that we need to be putting in there or working on. One is obviously, euro financials under IFRS, so that is something that we're finalizing for the group with us having adopted this as of January 1, 2015. So, obviously, we have to restate financials for all three entities under the new standard, so that's one big element. And the other piece is obviously our Directors going forward would need to sign off on that prospectus; and hence, there are procedures that we need to be doing internally from a perspective of controls, compliance, day one readiness, et cetera, that we need to conclude on to give them the comfort before the prospectus is issued. So, those are the two things that we're continuing to work on. Timing-wise, I would expect it to be somewhere on or around the time that we're doing our shareowner vote, as well.
Bryan D. Spillane - Bank of America Merrill Lynch: Okay. So, in terms of getting from here to kind of crossing the finish line, it's more still things that you're doing internally to get that done?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Correct. Correct. Obviously, we've had drafts that have gone to the UK LA and we've had comments back and we're addressing those. So, it's stuff that we keep doing internally to address some of those issues as well as I said those two areas that I highlighted. And again, we called that the vote in the U.S. is on the 24 of May. So, we're not talking about several months or it's a couple of weeks away.
Bryan D. Spillane - Bank of America Merrill Lynch: Okay. Great. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Operator, we have time for one more question.
Operator: Our last question is from Pablo Zuanic with SIG. You may begin.
Pablo Zuanic - Susquehanna Financial Group LLLP: Thank you. And I apologize if this question was asked already, but in terms of the soda tax rate risk, John, I want to ask two questions. One, what's the strategy or policy of working together with The Coca-Cola Company, in terms of trying to lobby the various levels, to counteract some of these initiatives? And I also want to get confirmation, if you were misquoted by the British press, when you talked about cooler heads prevailing in the future. I don't think that would have went down very well with the authorities in the UK, but I'm sorry to ask about that. So, that's one question. And the second one, if you can just give us an update in terms of where we are with the so-called soda tax rate risk in the other countries, in which you operate. There has been some issues in France, there has been some issues in Scandinavia. Are we making too big a deal of this? In the end, maybe doesn't have so much impact? If you put that in context, please? Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Yeah. Let me just say that we and The Coca-Cola Company work hand-in-hand on dealing with issues like soda taxes and other excise taxes and issues that confront us. So, we're totally together in Great Britain. The program doesn't take effect, assuming it does take effect until 2018 and consultations and working with the regulators is just starting. So, I think we are in early stages and we will see where it goes from here. In terms of the rest of the Europe, we remain very diligent in looking and working to see what's going on. There's nothing else out there right now to comment on. I would say, we've really done a great job in getting UNESDA into a position where it has got a lot more power and involvement in making sure the regulators and governments understand the impact of these kinds of discriminatory taxes, which don't do anything of any good. So, that's what's going on in the rest of Europe. We and Coke are totally together.
Pablo Zuanic - Susquehanna Financial Group LLLP: Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Okay. Let me just say thanks to all of you for joining us today. We appreciate your interest and hope you have a good day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. Have a wonderful day.